Operator: Good morning, and welcome to Ryder System, Incorporated second quarter 2009 earnings release conference call. All lines are in a listen-only mode until after the presentation. (Operator instructions) I would like to introduce Mr. Bob Brunn, Vice President of Investor Relations and Public Affairs for Ryder. Mr. Brunn, you may begin.
Bob Brunn: Thanks very much. Good morning, and welcome to Ryder's second quarter 2009 earnings conference call. I'd like to begin with a reminder that in this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may (inaudible) these expectations, due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors is contained in this morning's earnings release, and in Ryder's filings with the Securities and Exchange Commission. Presenting on today's call are Greg Swienton, Chairman and Chief Executive Officer; and, Robert Sanchez, Executive Vice President and Chief Financial Officer. Additionally, Tony Tegnelia, President of Global Fleet management solutions; and, John Williford, President of Global Supply chain solutions, are on the call today and available for questions following the presentation. With that, let me turn it over to Greg.
Greg Swienton: Thanks, Bob, and good morning, everyone. This morning we'll recap our second quarter 2009 results, review the asset management area, and discuss our current outlook. After our initial remarks, we will it open up as always for questions. So let me let me get right into an overview of our second quarter results, and for those on the PowerPoint, we'll begin on page four. Net earnings per diluted share were $0.41 for the second quarter 2009 as compared to $1.09 in the prior year period. EPS in this year's quarter included a $0.02 restructuring charge related to the closure of our supply chain operations in Europe and South America. EPS in the prior year's quarter included a $0.12 charge for accruals and tax deferral adjustments in Brazil for previous years. Excluding these items in each year, comparable EPS was $0.43 in the second quarter of 2009 as compared to the $1.21 in the prior year. Total revenue for the company was down by 25% from the prior year. Total revenue reflects lower fuel services revenue, lower operating revenue, and unfavorable foreign exchange rate movements. Operating revenue, which excludes FMS fuel and all subcontracted transportation revenue declined by 15%. Operating revenue was negatively impacted by lower automotive and other freight volumes, unfavorable foreign exchange rates, lower commercial rental revenue and lower SCS and DCC fuel revenues. On page five, in fleet management, total revenue decreased 26% versus the prior year. Total FMS revenue was down primarily due to a 58% decrease in fuel services revenue, reflecting both lower fuel costs and fuel volumes. Operating revenue, which excludes fuel, declined by 8% mainly due to lower rental revenue. Contractual revenue, which includes both full service lease and contract maintenance, was down 2%, but was up 1%, excluding foreign exchange. Commercial rental revenue decreased 26% or 23%, excluding foreign exchange, consistent with first quarter results, and reflecting continuing weaknesses in the overall economy and freight demand. Gains from the sale of used vehicles declined by $7 million, reflecting lower pricing, but with the modest increase in the number of units sold. Net before tax earnings in fleet management were lower by 64%. Fleet management earnings, as a percent of operating revenue, decreased by 910 basis points to 5.9%. FMS earnings were negatively impacted by commercial rental results, used vehicle pricing, lower full service lease performance, and higher pension expense. These negative impacts were partially offset by cost reduction initiatives. Turning to the supply chain solutions segment on page six, total revenue was down by 30% and operating revenue was down by 28%. The revenue decline was due to lower automotive and other freight volumes, unfavorable foreign exchange rates, and lower fuel volumes and prices. SCS returned to profitability, however, in the second quarter, with earnings of $2.8 million. Supply chain net before tax earnings, as a percent of operating revenue, declined 80 basis point to 1.1%. SCS earnings were negatively impacted by lower automotive results, including plant closure costs and losses in our South American and European operations, which we previously announced are being discontinued. In dedicated contract carriage, total revenue was down by 19% and operating revenue was down 20%. The revenue decline was related to lower fuel costs passed through to customers and lower overall freight volumes. Net before tax earnings in DCC decreased by 14%. Earnings in the quarter were negatively impacted by lower revenues resulting from reduced freight volumes. DCC's net before tax earnings, as a percent of operating revenue, improved by 60 basis points to 9.4%, largely due to lower fuel costs. Page seven highlights key financial statistics for the second quarter. I already highlighted our quarterly revenue results, so let me begin with earnings per share. Comparable EPS was $0.43 in the current quarter, down from $1.21 in the prior year. Comparable EPS for the second quarter 2009, included pension costs of $0.19 per share, which was $0.17 higher than in the prior year. The average number of diluted shares outstanding for the quarter declined by 1.6 million to 55.4 million shares. During 2009, we haven't repurchased any shares in accordance with our prior announcement that our share repurchased programs were temporarily paused due to unusual market conditions. As of June 30th, there were 56 million shares outstanding. The second quarter 2009 tax rate was 44.6% as compared to 44.1% in the prior year. Tax rates in both periods reflect the impact of none deductible losses in our South American operations. Page eight highlights key financial statistics for the year-to-date period. Operating revenue was down by14%. Comparable earnings per share were $0.67, down from $2.17 in the prior year. The average number of diluted shares outstanding was $55.3 million down by 2.2 million shares. Adjusted return on capital, which is calculated on a rolling 12-month basis, was 5.9% versus 7.4% in the prior year reflecting lower earnings. I'll turn now to page nine to discuss our second quarter result for the business segments. In fleet management solutions, total revenue declined by 26%, primarily due to lower fuel costs and volumes. Operating revenue, which excludes fuel, decreased by 8%, including a negative 3% impact from foreign exchange. Lease revenue was down 2%, but excluding foreign exchange, was up 1%, driven by acquisitions closed during the past year. Lease revenue was negatively impacted by slowing new lease sales and increased non-renewals of expiring leases due to customer fleet downsizing. Lower usage of leased vehicles also hurt lease revenue as miles driven per vehicle per day on the US lease power units decreased 9% versus the second quarter of 2008. The mileage decline was in line with what we saw in the first quarter this year. Contract maintenance revenue grew by 1% or by 3%, excluding foreign exchange. The increase reflects continued new sales to the private fleet market, which resulted in an increase in the number of units under contract maintenance agreements. Rental revenue was lower by 26% or 23%, excluding foreign exchange, on a 13% smaller average fleet. We have accelerated our rental fleet downsizing plan within a year in light of weakened market demand. Global pricing on power units decreased by 11% and Global commercial rental utilization on power units was 68.9%, down 570 basis points from 74.6% in the second quarter 2008. Fleet management solutions' earnings declined 64% due to lower commercial rental pricing and utilization, decreased used vehicle pricing, lower full service lease performance, and higher pension expense. These items were partially offset by cost reduction initiatives. In supply chain solutions, operating revenue decreased 28% in the quarter. Automotive volumes with plants we serve were dramatically down versus the prior year, but were higher than in the first quarter. Operating revenue was also negatively impacted by unfavorable foreign exchange rates, lower freight volumes in non-auto sectors, and lower fuel revenues. Following a one-quarter loss in the first quarter, supply chain solutions returned to profitability in the second quarter, with net before tax earnings of $2.8 million. While the segment was profitable, earnings were down from the prior year by $4 million. The earnings variance is due to a $5.6 million impact from lower North American automotive results, stemming from both lower volumes and $1.6 million in plant closure costs. SCS earnings were also negatively impacted by our operating loss of $3.6 million in our South American and European operations, which are being discontinued. In dedicated contract carriage, operating revenue declined 20% due to lower passed through fuel costs and lower overall freight volumes. DCC net before tax earnings were down by 14%. Net before tax margin was up by 60 basis points to 9.4% due to lower fuel costs. DCC earnings were negatively impacted by lower volumes of freight shipped for customers. Total central support costs were down by $5.1 million, reflecting lower spending across all functional areas due primarily to cost reduction actions. The portion of central support costs allocated to the business segments and included in segment net earnings was lower by $5.3 million. The unallocated share, which is shown separately on the P&L, was largely unchanged. Net earnings were $22.9 million, which includes restructuring and other items of $0.8 million. Comparable net earnings were $23.9 million as compared to $69.8 million in the prior year. Page ten highlights our full year results by business segment. But in the interest of time, I won't review all these results in full detail, but will just highlight the bottom line results. Comparable full year net earnings were $37.6 million as compared to $125.9 million in the prior year, down by 70% or $88.3 million. At this point, I'll turn the call over to our Chief Financial Officer, Robert Sanchez, to cover several financial items beginning with capital expenditures
Robert Sanchez: Thanks, Greg. Turning to page 11, year-to-date gross capital expenditures totaled $342 million, down by almost $300 million from the prior year. Spending on leased vehicles declined by $155 million or 34% year-to-date. Lease capital is down due to the slowing of new and replacement lease sales as customers continue to downsize their fleets. Lease spending is also down due to the successful implementation of our strategy this year to increase the number of lease term extensions and increase the use of surplus and other mid-life vehicles to fulfill new lease sales. These actions reduced the requirement for new vehicle purchases to fulfill customer fleet needs in the lease product line. Year-to-date, gross capital spending was also down due to lower spending on rental vehicles of $115million as planned in light of the weak rental demand environment. We realized proceeds primarily from the sale of revenue earning equipment of $103 million, declining by $40 million from the prior year. This decline reflects both lower used vehicle pricing and fewer units sold year-to-date. Including proceeds from sales, year-to-date net capital expenditures were $239 million, down by $257 million from the prior year. We also spent $85 million on acquisitions, primarily on fleet management's acquisition of Edart Leasing in the Northeast US in the first quarter. Turning to the next page, you'll see that we generated cash from operating activity of $492 million year-to-date, which is $30 million below the prior year. The decrease was mainly due to lower net earnings partially offset by higher depreciation. Depreciation increased largely due to higher adjustments in the carrying values of used vehicles, the impact from acquisitions, and higher per unit investments on new vehicles. In addition to our normal process of annually revising depreciation rates on all vehicles to reflect used market valuation changes over time, we've increased the depreciation rate of vehicles expected to be sold through December of 2010. This change increased depreciation expense by $2 million in the quarter. Including the impact of used vehicle sales, we generated $632 million in total cash, down by $66 million from the prior year. Cash payments for capital expenditures were $391 million, a decrease of $218 million versus the prior year. Including our cash capital spending, the company generated $241 million of positive free cash flow in the current year. This was an increase of over $152 million from the prior year, primarily due to lower vehicle purchases in both the lease and rental. We expect favorable free cash flow comparisons to continue throughout the remainder of the year, primarily due to lower cash capital expenditures. On page 13, total obligations of approximately $2.85 billion are down by $174 million as compared to the year-end 2008. The decrease in debt level is largely due to the use of positive free cash to pay down debt. Balance sheet debt-to-equity was 191% as compared to 213% at the end of the prior year. Total obligations, as a percent of equity at the end of quarter, were 201% versus 225% at the end of 2008. Our equity balance at the end of the quarter was $1.42 billion, up by $71 million versus the year-end 2008. This increase reflects the net earnings and foreign currency translation gains, which more than offset dividends year-to-date. Equity was down substantially from the second quarter of 2008, however, reflecting a decline of $434 million. This decline was largely due to the increase of $330 million in our pension equity charge in the fourth quarter 2008, largely as a result of the market values of our pension investment portfolio that declined last year. The equity decline versus the second quarter of 2008 was also due to the net share repurchases of $63 million, currency translation losses of $134 million, and dividends of $51 million. These combined items more than offset net earnings. At this point, I'll hand the call back over to Greg to provide an asset management update.
Greg Swienton: Thanks again, Robert. Page 15 summarizes key results in our asset management area. And as a reminder, we began in this year to report asset management statistics on this page for our global FMS operations, including Canada and the UK. Previously, this information was only presented for US operations. We've included the US stats for historical comparative purposes. At quarter-end, our global used vehicle inventory for sale was 9,000 vehicles, up by 3,600 units from the prior year, but down by 500 units from the end of the first quarter. The increase versus the prior year is due to a softening of rental and used vehicle demand levels, and was largely in line with our expectations. We expect used vehicle inventories to remain around current levels throughout the remainder of the year. We sold 5,600 units during the quarter, up 2% from the prior year, and up by 24% or 1,100 units from the first quarter this year. Used vehicle sales were relatively stable throughout the quarter. Proceeds per vehicle sold decreased from the prior year by 17% on tractors and 18% on trucks, due to softening overall pricing levels. We expect used vehicles pricing to remain weak in light of market conditions. At the end of the quarter, approximately 12,500 units were classified as no longer earning revenue. This was up by 5,700 units from the prior year, but was down by 1,500 units from the first quarter of 2009. The decrease versus the prior quarter reflects a decrease in the number of units held for sale and an improvement in rental utilization. We did see an increase of approximately 500 units year-to-date that were terminated early with lease customers. The increase was due to Ryder's decision to pull certain units from customers due to credit reasons in order to avoid potential bad debt expenses on receivables, and we're actively working to redeploy these units with other customers. We've continued to successfully implement our strategy to increase the number of lease contracts on existing vehicles that are extended beyond their original lease term. Year-to-date the number of these lease extensions was up by over 500 units versus the prior period. These extensions are a positive tactic in the current soft market environment as they retain our revenue stream with the customer, reduce the number of used trucks we need to sell, and also reduce new capital expenditure requirements. Our global commercial rental fleet in the second quarter declined, on average, by13% from the prior year. We are continuing to reduce the size of our rental fleet to meet weaker demand conditions and have accelerated the timing of our planned fleet reductions within the year. We expect our year-end fleet count to be down, from a percentage standpoint, by the mid-teens versus the prior year. In closing, let me turn to page17 to summarize our current outlook. Overall economic conditions and freight volumes continue to be very weak in the second quarter. While we saw some modest seasonal improvements underlying, fundamental demand was generally unchanged from what we saw in the first quarter. As we have yet to see consistent material indications to the contrary, we continue to expect that these weak conditions will remain throughout at least 2009. We anticipate that this unprecedented market conditions will primarily impact earnings in our F&S segment. Revenue comparisons in lease will become continually more challenging in the coming quarters due to reduced new and renewal sales levels stemming from customer fleet downsizing. While be believe there may be some modest seasonal improvement in rental, we anticipate overall demand conditions will remain weak. We expect the general used vehicle sales trends will continue at current levels. We expect to be able to continue to sell a reasonable -- reasonable number of used vehicles, but at lower prices. In supply chain, based on our discussions with OEMs, we expect that second hand automotive volumes will modestly improve relative to the first half, and this will help improve SCS results. The reorganization plan announced by GM will result in closing or idling plants that we serve, totaling approximately $17 million in annual revenue or about only 1% of SCS revenue. We expect to incur $2 million to $3 million in costs in the second half of the year related to these closures. In addition to overall improved automotive volumes, SCS earnings will also benefit due to completing the closure of the majority of our European and South American operations by the end of the third quarter. In terms of capital standing, we now forecast our full year gross capital expenditures to total approximately $550 million, down from $1.3 billion last year. This represents a decrease of $390 million from the original capital expenditure forecast we communicated in February in our original business plan. The decline in forecast capital expenditures is due to slower new and replacement lease sales as well as increased usage of term extensions and the use of mid-life surplus vehicles to fulfill new lease sales. We now expect positive free cash flow to further improve above our prior expectation of $465 million due to lower CapEx, partly offset by reduced earnings versus the prior year; higher cash taxes; and, lower used vehicle sales proceeds. We may also consider a voluntary pension contribution as the year progresses. Our ability to generate strong free cash flow is an important differentiator for the company and provides stability in the current environment. And that does conclude our prepared remarks this morning. So at this time we'll turn it over to the operator to open up the line for questions.
Operator: (Operator instructions) Our first question today is from David Ross, you may ask your question and please state your company name.
David Ross - Stifel Nicolaus: Yes. Good morning gentlemen. It’s Stifel Nicolaus.
Greg Swienton: Good morning.
David Ross - Stifel Nicolaus: Greg, can you talk a little bit about principal service leasing sales right now? And are you seeing a lot of businesses, look at their capital investments, and say, “Hey, you know what, we don’t need to tie up quite as much capital on our private fleet”? Is that any different than it was six months ago or a year ago? I know it’s a long sales cycle and the sales were just refocused back on, but can you give a little more color on the success we might be having?
Greg Swienton: Sure, Your question really revolves around how we’re seeing things on full service lease sales, and recently, maybe go back 6 to 12 months. I would say that one thing has remained consistent, and that is extreme caution on the part of customers. I think they’re all being very watchful and very careful about their own business, their business volume, and the freight they need to move. While our pipeline of activity continues to increase, the time that it takes for a customer to make a decision is becoming longer and they are pushing off decisions for as long as they possibly can. I think that has been something that has continued for the last 6 to 12 months. We don’t see that changing yet. And I think until individual customers relative to their own businesses see some confidence in the volumes that they need do to be pulling through their own networks that will remain the case. So that’s something we’re watchful of. But I think in answer to your question, no material change, no real difference, customers are being very cautious. And they’re putting off making those capital decisions because they’re not sure they’ll have an increase in freight to move yet.
David Ross - Stifel Nicolaus: Yes. That makes sense, and usually, I know you guys see the commercial rental side tighten up before you really see a growth on full service leasing activity in normal cycles. Given that commercial rental hasn’t really recovered yet, how long it will lag? Historically, have you seen in the full service leasing market after the rental market improves or pricing tightens, how do you want to look at it? Is it (inaudible) month to a year later in terms of really improving the leasing following the rent-to-own improvement?
Greg Swienton: Yes. I’m not sure that we can compare what’s going on in these extraordinary circumstances to what we’ve seen in past cycles, but I will add one perspective to what you’ve already said. We have also, in the last number of quarters, seen the decline in the miles per unit per day of our power units. I think that that’s what we will see recover first in this recovery because equipment that customers are already paying for and are leasing, I think that’s where we’ll see the first signs of some recovery, when those miles improve again. And then I think after that, we’ll see the commercial rental return. So I think that because of the extraordinary environment we’re in, it might be a little bit different this time, and therefore, maybe even be a little bit uncertain as to what that timing may be.
David Ross - Stifel Nicolaus: That’s very helpful. Also on the new 2010 engines that are coming up, do you guys have other large fleet class A trucks and you have been sending all kinds. Can you talk a little bit about what you’re seeing out of the different engines, the FCR versus GDR, and what the -- what you’re looking for with your customers?
Greg Swienton: Probably not, and I only say that because we don’t usually comment on the individual manufacturers. If Tony wants to comment at all about experience with the technologies without naming manufacturers from early tests, I’ll let him comment on that.
Tony Tegnelia: David, we are in the process of testing the different technologies right now. But to your earlier question relative to preserving capital, we do know that those units are -- regardless to the OEM, will be handsomely increased in price. And we think given the price increase that you'll see relative to those engines, we think that’s a good opportunity for us to have people come over and use our capital for those units rather than invest into those much more expensive units. We also do know, even in this early stage of testing with those technologies, that the maintenance on those vehicles are much more complex than in previous emission control increases in complexity. And so, we think that would also be a positive reason to compel people to want to outsource the maintenance of those more expensive vehicles because the maintenance would be more complex as well. At the early stages, we don’t have any conclusions yet on the view that they may actually improve fuel yields on those vehicles.
David Ross - Stifel Nicolaus: Thanks, folks. Thank you very much.
Tony Tegnelia: You’re welcome.
Operator: Thank you. Our next question comes from Todd Fowler, you may ask your question and please state your company name.
Todd Fowler - KeyBanc Capital Markets: Hi, good morning, KeyBanc Capital Markets.
Greg Swienton: Good morning.
Todd Fowler - KeyBanc Capital Markets: Greg, I was wondering if you could talk a little bit more about your outlook, specifically relating to the FMS business, the impact that you expect from the sales trends within the leasing businesses and the renewals. Is the expectation in that sequential revenue is going to decrease into the third and fourth quarter? And also, if you could talk about what’s going to happen in the margin line that would be helpful?
Greg Swienton: Yes. I think it’s hard to know for sure. But when you’ve got a certain amount of lead time, especially for the full service lease sales, you have an idea when revenue will continue, when revenue will increase, or when revenue will decrease. So certainly, based on sales in the last six months in particular, we see a decline in the number of replacement units and new units added to lease fleets because of a general downsizing in customer fleets. And for any new business being sold, it is not enough to offset that lease revenue. So how that will all play in the fleet management solutions is a part of a bigger equation. It all depends -- what happens to revenue and margins will depend on what else happens concurrently on the part of customers. If even though our recent past sales have been down, if miles begin to accelerate that haven't been there in the recent past, that will help mitigate some of the issues. If miles increase on existing units and there’s a need for supplemental or complimentary demand, then commercial rental will move up. The question of whether that will cover what we know about decreasing full service lease sales is what we can’t yet fully guess about, and I don’t think our customers can fully guess about. So in it’s pieces, we don’t know for sure when demand will turn, we don’t know when miles will go up, we don’t know when rental demand will go up. But the piece that we can feel somewhat certain about is that we’ll still have some declining full service lease commitments because of what’s happened in the last six months. Then when you come to the margin portion, it all depends on where the earnings are coming from because you get different returns as you’d expect from rental. You get higher margins and rentals, of course, than lease, as you’d expect. Miles, when they’re added to the system, tend to more quickly fall at the bottom line, and the lease sale is quite normal. So there’s a lot of parts and variables in that equation, so I hope I’ve given you enough pieces that you can try to figure out, as time goes by, when demand picks up, how that may look.
Todd Fowler - KeyBanc Capital Markets: Well, no. And I guess let me ask you a little bit differently. If we’re kind of at this new normal level and things -- activity miles are basically are flat going into the third and fourth quarter, and based on the trends that you’re seeing with non-renewals and the lease sales cycle. I guess you have enough levers on the cost side that you were able to maintain FMS margins. Or do FMS margins come down a little bit just based on the fact that I would expect that revenue would continue to drift a little bit lower?
Greg Swienton: For the scenario as you just depicted it, you would expect the revenue to come down and the margin to come down because we couldn’t offset enough of that with cost reduction.
Todd Fowler - KeyBanc Capital Markets: Okay. That’s helpful. And then as far as customers not renewing their leases, is the lease book still pretty (inaudible) from the standpoint that -- I’m assuming that there is a five-year commitment on the lease, that most of the leases are going to come up, in fact, 20% of lease renewals on an annual basis. Or is there a little bit of a bubble you’re going back to the heavy lease writing activity that happened in late 2005, 2006, and maybe early 2007?
Greg Swienton: Yes. I think there are two factors. One is that you do have a bubble, especially in ’06 going in ’07. So if you go five years out, you skip over another year. And then secondly, because customers have done a fair amount and we support them doing it -- to do lease extensions rather than just turn in the truck, that’s going also to create another mini bubble or smaller bubble. But I think those will be the two factors.
Todd Fowler - KeyBanc Capital Markets: Okay. Good, now that’s helpful. And then just lastly here in the dedicated business, with revenue down about 20%, the margins did come up nicely. I think that you talked a little bit about fuel having an impact there. Can you walk me through the impact that fuel has on the dedicated margins and maybe from a higher level? How you were able to get the leverage in the dedicated business with the drop off in revenue and volumes?
Greg Swienton: I think that the easiest way to understand that is that in DCC, those fuel costs are largely a pass through. So as they’re moving up or down, you’re not going to have as much impact on the overall net earnings, but you see it in the percent of earnings because you'll have an earnings level based on the smaller revenue level on the top line. And that would be what we describe largely caused, again, an improvement to 9.4%. All the rest of the impacts really come from volume and productivity in the normal parts of the business. John, I don't know if you want to add anything from--
John Williford: Our dry operating -- our dry operating revenue is down I think about 8% versus the number you cited, so a lot less. And if you look at our margin on dry operating revenue, it’s down a very little bit. And that’s what you would expect. I think what you’d see going on here is, we lost some low margin accounts, mostly late last year. We’ve added some better margin accounts. And then we’ve had a decline in volumes at existing accounts. And those things kind of traded out where we were able to keep our margin on dry operating revenue and had a slight decline in dry operating revenue based on current volumes at existing accounts.
Todd Fowler - KeyBanc Capital Markets: Okay. And then you’re looking ahead with -- based on those trends, does anything change materially than on the dedicated side into the back half of the year?
Greg Swienton: Not really materially, were -- I think we’re getting some momentum in winning new accounts. But I don’t think you’re going to see a dramatic change in growth rates or anything like that or in margins, so no, not materially.
Todd Fowler - KeyBanc Capital Markets: Okay. Thanks. I’ll let somebody else have it.
Greg Swienton: Okay.
Operator: Thank you, our next question is from Edward Wolfe, you may ask your question and please state you company name.
Edward Wolfe - Wolfe Research: Thanks, Wolfe Research. Good afternoon, guys.
Greg Swienton: Hello, Ed.
Edward Wolfe - Wolfe Research: Can I at least start maybe, Robert, by going through interest expense and how we should think about that going forward? Obviously, there’s going to be more cash flow. You’re interest expense is basically flat in second quarter over first quarter. Is that as good as any run rate or is there anything significant going to change as we look at that going forward?
Robert Sanchez: Well, you’re going to see -- overall interest expense should come down because as the year progresses, we’ll be paying down debt with the free cash flow. So you’ll see the debt balances come down and interest expense come down as a result of that. In terms of the rate, you should see if it we’re about 5.4 in the second quarter, which was consistent with the first quarter. And for the balance of the year you should see that creep up a little bit towards the tail-end of the year as we pay off the commercial paper, which is the lower interest rate debt that we have.
Edward Wolfe - Wolfe Research: Okay. And at his point, no change to your thought process on share repurchase given the extra cash that’s coming in and as somewhat stabilized, it feels like at least cost structure at this point?
Robert Sanchez: Yes. at this point, no, but we continue to monitor it closely. Clearly, this is the first quarter where we saw the leverage come down, which is something we wanted to see. As you saw, we increased the dividend as a result of that, in our view, of free cash flow for the balance of the year. We do have acquisition candidates that we continue to look at, so we’re kind of waiting to see how that turns out. Also, obviously, looking at the equity markets and making sure that we’re not going to have a significant pension equity hit at the end of this year, we want to see that as it evolves, and continue to work with the rating agencies. And one of the things that we want to do is we're in our strategic planning season now over the next several months. So we’ll have a better view of what the next -- or at least our view internally as to what the next two to three years will look like in terms of need for capital. and we want to take that into consideration as we decide if and when we’re going to initiate the share repurchase again.
Edward Wolfe - Wolfe Research: Around that, can we talk a little bit about the CapEx reduction in terms of what the extra cut means? It sounds like you’re going to be using some used trucks for customers instead of new trucks. Well can you talk about that and how maybe -- does that impact your leverage on the upturn at some point?
Robert Sanchez: Well, on the -- as we take -- obviously, as we take vehicles out of the network, especially in rental. On the upturn you’re right, initially you’ll get a price benefit, and then eventually we’ll have to bring more vehicles into the network. So what that will do is obviously impact the amount of capital we’ll need in the future for rental because we’ll need to replenish the fleet. In lease, it’s just based on when customers signed up for additional leases, that’s when we’ll go out and make those capital expenditures.
Edward Wolfe - Wolfe Research: Now, if I heard what was said before, the rental fleet is currently down about 13%, is that year-over-year or quarter-over-quarter?
Greg Swienton: That’s year-over-year.
Edward Wolfe - Wolfe Research: With the goal of getting to mid-teens by year-end, so there are only another couple of points or so to take out the rental, is that right?
Greg Swienton: That is correct. That's correct.
Edward Wolfe - Wolfe Research: Okay. What’s the seasonality, Greg, in the third quarter? I mean, if you’re printing $0.41 in a second. I’m guessing historically, well since you’ve been out of the bus business, it’s fairly flat third to second normally, but supply chain is getting a little bit better. How do I think about some of the seasonality here?
Greg Swienton: I can answer your question about seasonality, but I won’t automatically necessary let you assume that it has something to do with earnings. The seasonality clearly normally picks up a little bit above second quarter, which is what you indicated, and in the third quarter is up and a strong Christmas season or about equal with the third. That’s normal, that’s normal seasonality. Always the first is the lowest step up, and the second a little bit to the third, and then kind of leveling off in the fourth. You can graph that year-over-year, good times, bad times, and that’s what you see. The reason that I don’t want to necessarily relate to any comment about earnings is first, we’re not, were still not doing a forecast; and, there’s an awful lot of variables that are going on right now that have nothing to do with seasonality. That is customer confidence. They’re willing to take on new equipment, to renew equipment, lease miles being driven, rental on used truck prices and sales, all of that’s in there. Whereas, the only thing that we really can feel somewhat confident about is a little bit of optic in automotive volume from what we’ve been told by the OEM. So there are so many variables in that soup. That’s why we can talk about seasonality, what that means for upcoming quarters, I can’t conjecture.
Edward Wolfe - Wolfe Research: Thank you, first of all. That's very helpful. What’s the timing of the -- when the manufacturers are telling you to expect the up tick?
Greg Swienton: John, do you have a -- just a kind of general trend from automotive activity?
John Williford: Yes. We’ll start to see plants come back on line in early August, and it varies by plan, obviously. Now, the key for us is we’re going to have a little more consistency in productions, the thing that really hurt our operating profits a lot is the up and down of these plants. We think that with some of the new schedules now, we’re going to have more consistent operations at the plants that are staying open. So we’re still going to have some -- as Greg mentioned, we’re still going to have some plant closure costs in the second half. But we should have more profitability because we’re going to have more consistency in plant schedules. And that will get a little better during the second half. So the fourth quarter will be better than the third quarter.
Edward Wolfe - Wolfe Research: That makes sense. One last one, just when you look at used trucks, you talked about numbers weren’t the issue. It was pricing that was the issue. And as you look out the third and fourth quarter, is there any reason to expect a further step down in pricing or volume or is $3 million or so is good place holder as any of our gains on sales?
Greg Swienton: I may let Tony comment a little bit. But you’re right, we had more units moved and we think moving units is the most important thing we could be doing right now so as not to be saddled with older depreciating assets. So that’s critical and that’s good. But the price is soft, 17%, 18%, 20%. Tony, if you want to, is that what you’re seeing in the market right now?
Tony Tegnelia: We think, for the most part in the third and fourth quarter or therefore the second half, we’ll pretty much sell the same number of units that we sold in the first half of the year. We’re pleased with what our sales had been. We had very targeted year-end inventory levels for our used vehicle inventories. We do not want to be held holding long on units going into next year. It probably will be a little softer for pricing going into the third and fourth quarter than we did in the first half. But our objective is to convert those units into cash at good rates. We continue to monitor the channels that we sell them to, retail versus wholesale. And we’re pleased with the mix of where we are right now with retail versus wholesale. We get the best price. And we’re doing a lot more progress in international sales as well. Our portion of the sales that went international this year versus last year is up, so that gives us another avenue. But we target asset utilization and we target year-end inventories. Probably be a little bit softer pricing to get to those inventory levels, but more use of international markets helped as well.
Edward Wolfe - Wolfe Research: That’s very helpful. Thanks everybody for this--
Greg Swienton: You’re welcome. Thank you.
Operator: Thank you, your next question is from Alex Brand, you may ask your question, and please state your company name.
George Pickral - Stephens Inc.: Hi, this is actually George Pickral for Alex Brand and company, Stephens.
Greg Swienton: Hello, George.
George Pickral - Stephens Inc.: Hey, first question on the FMS side. How much did acquisitions add to full service lease revenue in the quarter?
Greg Swienton: I think it helped about 1%, if I’m not mistaken. But Tony or Robert, if you’ve got a better number available?
Robert Sanchez: No, the acquisitions in the first quarter or the first half?
George Pickral - Stephens Inc.: In the second quarter.
Robert Sanchez: In the second quarter, okay, it was about 2%.
George Pickral - Stephens Inc.: Two percent okay.
Robert Sanchez: It was around 2 %.
George Pickral - Stephens Inc.: Okay. And speaking with the FMS, when you have -- obviously, customers are coming back to you and returning trucks, and just renewing existing contracts on the trucks they want to keep. When they do that, is it a pure renewal of the existing contract, which might imply annual price increases or is it something where they’re looking for flat or down pricing on the contract extension?
Greg Swienton: I’ll let Tony answer.
Tony Tegnelia: George, we have seen model change price uplifts since the initial investment of the unit that they turned in and also the ’07 EPA emission uplift as well. And we are maintaining our pricing discipline during this environment. So those rates go up. We’re maintaining the pricing discipline, the investment in the vehicle is higher, therefore; the lease rate is higher. And when the 2010 engine emission uplift hits those unit investments, you’ll see an uplift in lease sales as well at the same time. We cannot renew a new vehicle at a -- basically, five-year old vehicle rate because of all the increases in the investment level over that period of time. So the rates -- the rates are up. Extensions are typically about the same rate for a unit that just termed out. But generally speaking, a new unit, rates got to go up. And we maintain our pricing discipline and they are going up.
George Pickral - Stephens Inc.: Okay. You mentioned the 2010 engine, what are you hearing from your customers on the demand side for that. Is it something they want, something they want to avoid?
Tony Tegnelia: I think there are two things. As Greg had mentioned, everyone is preoccupied more with extensions right now, and our extensions are up in the second quarter over the first quarter and that does save our capital. There is some view from the OEMs that the new 2010 emission engines will actually improve fuel yield. I think the customers are a bit skeptical of that, and they’re going to hold out to see if that really is true or not. But right now, we do not see any anticipated pre-buy to avoid the 2010. They’re more concerned on feeling better and more confident about what their freight volumes will be over the next 12 to 18 months.
Greg Swienton: Yes. I think what Tony said is really the heart of it. Customers are more concerned about their businesses than technology changes and engines.
George Pickral - Stephens Inc.: Okay. Great, thank you for that. I’ve just got two more quick questions. You said miles driven per tractor and lease was down 9%. How close are we getting to contractual minimums or are we below them? And if so, are you allowing customers to drive through your miles or are you still charging them for the contractual minimum rate?
Tony Tegnelia: George, basically our pricing structure within full service lease is about 85% fixed, and about 15% of the total revenue is variable. The minimum, if you will, is basically in the sixth portion of what the lease -- our rate charges. But they are not minimum miles that the customers would owe us money for. For the most part for the balance of the year, we see those mileage declines, pretty much staying where they are right now.
George Pickral - Stephens Inc.: Okay. Thank you. And the last question here is, you said you chose to terminate 500 leases in Q2 on credit concerns. Is this a harbinger of things to come or was this kind of one time clean sweep let’s-get-rid-of-the-low-hanging pretty type of move?
Greg Swienton: I think it’s something that we review constantly. However, it could be that half of those units or more was an unusual situation with one fairly significant customer. So you’d have a bigger impact in the second quarter than normal.
George Pickral - Stephens Inc.: Okay. Thank you. Thank you for your time, guys.
Operator: Thank you. Your next question is from Mike Halloran. You may ask your question and please state your company name.
Mike Halloran - Robert W. Baird: The company is Robert W. Baird, good morning.
Greg Swienton: Good morning.
Mike Halloran - Robert W. Baird: I’m just piggy backing on the question there, you said that the acquisitions on the full service leasing side were about 2% point benefit. Does that basically imply if you strip out acquisitions, if you strip out the foreign exchange impact, your organic FSL is down somewhere in that 1% to 2% point range?
Greg Swienton: It sounds about right.
Mike Halloran - Robert W. Baird: Okay. And then similarly, just kind of looking through the trends in the last quarter on the full service leasing side, I think, you just previously said that you’re expecting that miles per truck per unit to trend about the same year. I'm just curious about how that looks in the quarter, the miles per truck per unit, the renewal rates, and the retention rates, things like that. Were you seeing a stabilization thing to the quarter or were things moving a little bit more one way or the other?
Greg Swienton: Thereby, was June much different than April, is your question?
Mike Halloran - Robert W. Baird: Yes.
Greg Swienton: Yes. Tony, do you want to comment?
Tony Tegnelia: Yes. On the mileage side, we actually saw June deteriorate a little bit from where we were in May, from that perspective. And the indications that we have from our customers, and of course we’re in continuing contact with them, is that they’ll pretty much stay at these levels for the balance of the year for the most part. We do not see any improvement in the utilization of our customer’s private fleet as we go on out into the rest of the year. As far is the removals are concerned and as far as new customers are concerned, we’re seeing those rates pretty much stay where they are right now declined as well. And as a result, you can see the less need for capital in the second half of the year. But we also have a very, very strong program for our rental police program and our surplus redeployment, and also our extensions. And all three of those avenues, if you will, sources of capital, rentals, surplus, and extensions were all up in the second quarter versus the first quarter. As a matter of fact, half of the units that were put into service -- new units put into service in the second quarter really came from existing assets and that was only about a quarter compared to the first -- to the second quarter of last year.
Mike Halloran - Robert W. Baird: Makes sense, and then, on the supply change side. I just quickly -- when is that international headwind from exiting the European and South American operations, when did that headwinds on lease start abating? It’s a pretty full run right through the first and third quarter, and then a base on the fourth quarter, or is it more towards the year-end?
Greg Swienton: I think it will continue to decline in the third, and we should be out by the end of the fourth quarter.
Mike Halloran - Robert W. Baird: Well I appreciate your time.
Greg Swienton: You’re welcome.
Operator: Thank you. Our next question is from David Campbell. You may ask your question and please state your company name.
David Campbell - Thompson, Davis & Company: That’s Thompson, Davis & Company.
Greg Swienton: Hello, David.
David Campbell - Thompson, Davis & Company: Hi, Greg. How are you?
Greg Swienton: Good, thanks.
David Campbell - Thompson, Davis & Company: Just wanted to ask -- zero in again on these miles per day since that seems to be one of the key factors in forecasting the future. So the 9% decrease in the second quarter, how much was it down on the first quarter?
Greg Swienton: Nine percent.
David Campbell - Thompson, Davis & Company: Same?
Greg Swienton: Yes.
David Campbell - Thompson, Davis & Company: And therefore, I guess, June was flat, it was down from May, but still down 9% year-to-year?
Greg Swienton: That’s correct.
David Campbell - Thompson, Davis & Company: So you really have stability there, at least not any deteriorating trend, right?
Greg Swienton: That’s one way to look at it.
David Campbell - Thompson, Davis & Company: Which could imply your next step will be up, or it may eventually -- I guess by the end of the -- by the end of the year you’ll be flat year-to-year? Is that the way to look at it?
Greg Swienton: Well the comparisons will begin to get a little easier. The third of '08 was down 4%, the fourth quarter '08 was down 6%, and the last half of the year, we’ve been down 9%. So I guess it all depends on what customers are going to do, but the comps become a little bit easier. I’m not sure that will show recovery. But I agree with your sentiment, we’d love to see that number turn around at anytime and get back up.
David Campbell - Thompson, Davis & Company: Right. Okay. All of my other questions have been answered. Thanks for the help.
Greg Swienton: You’re very welcome.
Operator: Thank you, that’s all the time we have for questions. I would now like to turn the call back over to Mr. Greg Swienton.
Greg Swienton: Well apparently, if we’ve answered all questions that are in queue, and I think that’s the case. We’ve got five minutes to spare, so thank you all for participating and have a good safe day.